Therese Jander: Good morning, ladies and gentlemen, and I hope you're all well. A warm welcome to the Wienerberger conference call. Our Board representative today is Mr. Heimo Scheuch, our CEO; and Gerhard Hanke, our CFO. And they will walk you through the presentation and are ready to take your questions afterwards. So then I will hand over to Mr. Heimo Scheuch.
Heimo Scheuch : Thank you, and a warm welcome also from our side, Gerhard and myself. Today, we welcome you from Belgium from our biggest showroom in Wienerberger, north of Brussels, and glad to have you all on the phone. This time when we go through the presentation, I've put the shareholder letter in front, and it made me think that more than 10 years ago, I had the pleasure to sit with Warren Buffett in his office in the United States, and we discussed about the development of North America, especially the U.S. and about Europe. And I must say to all of you, it was very challenging, interesting and rewarding this more than an hour conversation because a lot of things that he actually said 10 years ago became true in this world. So it was fascinating. And he said one thing before I left, said he said to me, Heimo, always put the people in front and communicate well with them. So I thought we put the letter in front of this presentation. So to give you a good update and a detailed one about our group, our culture, our values and the people that are behind it. And when you look through the performance of Wienerberger in 2024, it is a very remarkable performance because it comes actually in the light of a very volatile market and a market that -- or end markets that have been changing drastically throughout the year '24. And it's due to the enormous performance and the great performance of our more than 20,000 colleagues that we can achieve and say it's the third best year when you look at our operating EBITDA with EUR 760 million and the resilience of our business model. These people where we invest a lot in training, in sort of growing them throughout the company and making them great managers and also great people on the shop floor, we put a lot of effort in, and I'm glad to report that this is growing the momentum, and we put a lot of emphasis on HR development within Wienerberger. When we talk about '24, let me just say a couple of words on the year itself. When we came together a year ago, and I explained to you how we see the year, we assumed that especially the new residential housing market, both in North America and in Europe would do much better. That's why I inserted this slide about the market development. We assumed that, obviously, not only rate cuts will take place and that the economy would do much better, especially in Europe, and there will be a stronger recovery in the new residential housing market in all of our markets. However, this didn't materialize. We saw, obviously, after the second quarter that here, there's no momentum building. On the contrary that the new residential housing market is actually declining. This has to do with 3 major reasons when we look back to 2004. There were obviously high interest rates. There was also an increasing political instability due to the election year and elections in most of our major markets and a lot of sort of instability also when it came to financing, changing rules, regulations, bureaucratic burdens, et cetera. So there was not a very positive momentum nor in the U.S. nor in Europe when it comes to new residential housing, especially in the 1 and 2 family house new residential building. So this obviously led us to a decreasing activity here, and this affected, obviously, our markets, end markets tremendously and substantially. That's why we revised the market outlook and adjusted our forecast accordingly. So I just wanted to make clear, when I give an expectation for a year, I base ourselves on a certain type of market development. That's the snapshot that we take at this time and our forecast that we do for the year. But obviously, when events like this happen throughout the year, you need to take them into consideration and obviously build it then in an actual forecast. So it's not a profit warning as such because that would be a different way forward. But if you say that you will, under certain conditions, achieve a certain result and the conditions that we put in place are not met due to the external events, then we need to adjust. Just this is a walk-through of the year 2004. When you look at, as I said, the Wienerberger portfolio, and you remember very clearly that our major goal was over the next -- the last couple of years to have a stronger portfolio, a diverse portfolio and more resilient portfolio. That's why we put so much emphasis on renovation and on infrastructure. And you see that these 2 parts of our business, which are roughly more than 50% right now, perform much more stable, are resilient in such difficult market when it comes to interest rates, when it comes to political instability. And the segment that obviously takes advantage the most if there's a positive sentiment, but also suffers the most when it's critical, it's the new residential housing market. And that's for the reasons that I mentioned already, why we had a rather difficult year in '24. And obviously, in markets like Germany, Austria and around certain parts of Europe, the market was really, really bad. When we look at our response, it was a response that was drastic. It's very quick, fast as we always interfere in such situations when we go into the business, we cut production cost structures, streamlined our operations and reduced dramatically fixed cost savings. You will see in the presentation of -- and the slides that Gerhard will walk you through how drastic we moved in the business and how we kept margins on a very satisfactory level in this year. And when you look at the roofing part, I can only say that here, we have gained momentum. We have also invested in the business in order to be here ready for further growth, especially in the U.K. and Eastern Europe when it comes to the new installations that we are currently under construction and in the U.K. already under operations. We have significantly upgraded our piping industrial network from the north to the western part with very high modern and performing plants. So here, again, ready for further growth in this division. By the way, and this is, I think, very important also for you to know that this segment is the fastest-growing one. Piping is now more than 30% of our revenues within the Wienerberger Group. When you look in a nutshell very quickly over the results, EUR 760 million is right in the guidance that we gave you last year and shows the resilience of our business model, cost discipline. We got a contribution of roughly around EUR 100 million from cost savings and obviously contribute to the profitability of Wienerberger and the strong margins. And I'm happy to report that we achieved nearly EUR 420 million free cash flow out of the business by extremely watching our working capital and managing our capacity efficiently throughout the whole company. And so this is a very strong increase when we talk about the free cash flow and shows the capacity of our group to adjust very quickly and very efficiently to such extraordinary circumstances. When we talk about growth, here again, you see that the Terreal acquisition was the right one at the right moment. The Roofing segment is a very important one for Wienerberger due to its strong exposure to renovation. The Roofing as such has a margin above -- an EBITDA margin above 20%. So you see even in difficult times, we have here a strong margin, and we can expand it through the Terreal acquisition with our efficiency programs running. And I'm also happy to report that the integration as such is moving much faster than originally expected. On the U.K. and Ireland front, where we have seen also a little better market development throughout the year, but even there, the new build and new residential housing market was under a little pressure. And even if there was a decline in the market about 10% compared to the previous year due to our acquisitions and due to the fact that we are much more diversified there -- it's more than 50% comes now from renovation and from infrastructure, our turnover in U.K. and Ireland, we have outperformed the market and obviously grow the business there. And North America, finally, how the turnaround actually can be looked at from a perspective in 2024, a difficult year when we talk about new build and new residential housing. Again, when you compare numbers, 2020 and 2024, we had an increase in EBITDA of an impressive 140% with the same parameters. So the same industrial base and no scope -- substantial scope expansion. So again, it shows the efficiency, how we deal with the business in different markets. Again, when you look at M&A, we have done quite some very strategic and very focused transactions, both in piping and phasing, but also obviously, in the roofing, a very strong one with Terreal. So this brings us in a very good position to grow the business further. And again, our principles, our clearly defined targets with a 5x EBITDA after synergies are perfectly in line. And after '24, we can also say that this integration moves well and the performance of these businesses also. The biggest one, obviously, being Terreal, as I said, very well structured, integrated and moves us in a completely different level when it comes to roofing in Europe. Not enough on the M&A front. We work also, as I said, very thoroughly, and this is important for all of you because our view is long term. It's not only 1 semester or 1 quarter or 1 or 2 years. It's long term. We are committed to our sustainability targets. We are committed to our long-term targets. And what we do, we actually upgrade our industrial portfolio very strategically by investing in strategic plants, reducing energy consumptions above all. You've seen that we have now operationally running the most modern brick factory in the whole world with a very high-performing industrial setup. And obviously, we have here only electricity that we use. So no CO2 emissions. Then we have invested in new -- completely new concrete roof type plants in the U.K. and in Hungary, again, also highly efficient and not a very high utilization of energy. And we have improved our setup, for example, with a huge investment in the north of Europe when it comes to piping, the most modern and highly performing plant there in the north. So you see that within our strategy, innovation and sustainability match and work together in order to improve, improve growth, state-of-the-art plants. As I said, resource efficiency plays a very important role when it comes to the utilization. of not only clay, but also plastic granulate and other raw materials that we use and which provides us with a very competitive setup around Europe, will pay off over the years to come because, as I said, we, at Wienerberger, invest long term. And this is -- with these words, I hand over to Gerhard, who will walk you through the financials.
Gerhard Hanke : Thank you, Heimo. Ladies and gentlemen, good morning. Let me start with the last quarter, and I would like to summarize it in some few words because the last quarter of the year was in line with our expectations. So no surprises there. We closed the year with an operating EBITDA of close to EUR 160 million. We have seen volumes, which are up for the first quarter with plus 3% on a year-on-year comparison. We have seen prices also which slightly improved with minus 2%. And we ended with an operating EBITDA margin of 14%. I will -- anyhow, I will dive in now in the results of 2024, and I will do a deep dive more on volume, price, et cetera. So as mentioned, quarter 4, no surprises in line with our expectations. So let's move to the financials to the full year financials. You have heard already the numbers, the main numbers by Heimo, operating EBITDA, EUR 760 million, up with a strong operating EBITDA margin with 17%, considering the environment where we are in. Terreal contributed slightly better with EUR 82 million. And we closed the year with a net result -- with a profit after tax of plus EUR 80 million, considering also the substantial restructuring measures, which we have put in place mainly in the second quarter of last year. Before we move into the details of volume and pricing, have a look on the regional developments. If I may start with Europe West, we mentioned that earlier that U.K., Ireland was one of the first markets considering that how they developed in the new residential housing, which recovered and this recovery continued during the whole year 2024. Where we have seen that the recovery is not materializing was more the countries in Central West, and we are speaking here about France, Germany and Belgium, where in the second half, the bottoming out were still ongoing. And we have seen in the Western part of Europe that the infrastructure and the renovation markets are resilient and moved stable across the whole year of 2024. When you look to the numbers on the right side, you see that revenues up by 7%. Yes, we know that there is a big part, especially in Western Europe. There is Terreal in the scope expansion by Terreal, so a big part of Terreal acquisition is considered due to Germany and France in our region West. And there is some smaller impact in the Region East where we have considered the results and the revenues of Italy. Let's continue with Europe East. We have seen that the Eastern European business developed in the first half with, let's say, with a more outspoken recovery than what we have seen in the second half of the year, and it's about new residential housing. We also have seen in Europe East that especially in the last 4, 5 months that also the roofing business, the renovation business is stronger again. So the main driver, I would say, in the operating EBITDA of Europe East, and you see it is more or less stable, that all the cost management measures, the restructuring measures, which we have implemented mainly in 2023 are materializing and now contributing to respectable profitability in Europe East. North America, the new residential housing market continues to be challenging. What we have seen that we started with more or less a flat new residential housing demand and the second half of 2024, the demand was weaker. We had also during quarter 3, the floodings in some parts of the U.S., which also put some pressure on the volumes. But as Heimo said in the beginning, the U.S. was definitely in the second half of 2024, more difficult than what we have seen in the first 6 months. Revenues up with 7%, and let me guide you now through the details on volume and price. Volume-wise, as I said, minus 3% across the group. I think we can allocate clearly where the volume decline is coming from. Positive and also a good sign of where you see the diversification of the group is that the roof and the pipe volumes are stable. So the volume decline, what we see within the group is -- can be allocated solely to the, let's say, to the product segments, which are exposed to the new residential housing markets. It's the wall and the facade. And here, we see the minus 5% and the minus 5%. Again, we can allocate to the U.S., which is mainly driven by the second half of last year and also by Western European countries. Again, we speak about Germany, France, which we are still in a bottoming out phase. Pricing-wise, also we choose for this presentation as we believe also there, you can see that the price reductions, which we realized, we can allocate, first of all, to the Eastern European new residential housing product group, so meaning wall and facade again in the clay block business, where in the beginning already intentionally put some price decreases or price reductions in place to protect our market share. And as I mentioned, we have seen already in the last quarter of 2024 that pricing slightly improved. So I think also here, we are right on track, well on track. We see a positive price development in the U.S. with plus 4%. And we see in the piping business a minus 5%. And this has 2 reasons. First of all, we see that the pipe prices in the U.S. are sequentially coming down. This is one of the reasons. And the second reason is also that we have seen resin prices, which were also declining throughout 2024. And as you know, the pricing on pipe is closely linked also to the development of the resin prices. Cost inflation, when it's about cost inflation, we see some major drivers, which we have seen in the first half year, where we were developing even with a negative cost inflation, so meaning a deflation of minus 1.5%. This turned around in the second half, mainly due to energy prices, which were increasing in the second half of this last year. And also the resin prices were on a year-on-year comparison in the second half, slightly higher. So that combining first half and second half, we speak about a 0% cost inflation. So we were able to freeze our cost inflation across the year and we're able to compensate even an increase in personnel costs of 5%, which was still in 2024 significant. We summarized here once more the price/cost impact of 2024. It was around about EUR 100 million. And just also to make clear where this is coming from, as we said, around about EUR 60 million, we can allocate to the wall and to the facade business. This is mainly the product groups which are exposed to new residential housing. And here, we have the biggest impact out of Europe East, what we explained before. There is some slight impact also from Germany. But the biggest impact, as we have communicated earlier, is Europe East. And the second impact we see from the piping business. And here, we have, on the one side, a step down in profitability in the U.S. piping, which is, I guess, also not a big surprise. And we have seen in the piping business in Eastern Europe in mainly 2 countries in Poland and in Hungary, due to limitations also from municipalities on their budgets that we also have seen some small price pressure there, which also impacted the price/cost spread. So all in all, EUR 100 million, I think, which can be clearly allocated. And I think the more positive message here is also you see in the middle, the roofing segment, which is very stable and resilient, and we are moving through this difficult year with a plus/minus EUR 0 on price/cost spread. We summarized once more the EBITDA margins per profit per product segment. As we believe you see the 17% on operating EBITDA margin, where we are breaking down by product group. And let me start with the wall and the facade product group, which is mainly exposed to the new residential housing. And you know that the new residential housing compared with 2021 was declining by almost 50%. And we are running at the moment also our production sites with around about 50% on utilization rates. Considering that a 16% on operating EBITDA margin is a very strong margin. And here, I think it is also clear to see that all our cost management measures, our cost cuts, our efficiency improvements are paying off and contributing to the strong EBITDA margin. Roofing, the strongest segment in our portfolio with a 23% operating EBITDA margin. And last but not least, 19% out of the Piping segment. You see here also that even when we had to digest some of the price declines and also resin declines in the U.S., we were able to keep our EBITDA margin in the Piping business with 19% on a very high level. It was already mentioned by Heimo in the beginning that we were -- that out of all our cost measures, which we implemented and big part was already implemented in 2023, that we realized cost savings of around about EUR 60 million. And secondly, also our self-help program contributed with around about EUR 40 million. So this adding up to EUR 100 million, and this is strongly compensating also the headwinds what we had out of volume and prices. During 2024, and I think this is also an important information as we have seen that in 2023, we were building up inventories. In 2024, we were reducing inventories. We were focusing a lot on working capital optimization. And therefore, I put this slide into the presentation as when you steer your business, especially your ceramic business in the sense of inventory management, you see that you have a positive impact on the one side, if you have a lower production, meaning also less energy consumption and less emissions. On the other side, you also have due to the lower production, less efficiency and also a lower absorption of fixed costs by the end, with the goal to optimize your working capital and with the goal to generate cash flow. And this can have an impact in 2024 negatively slightly, and this can also have an impact and impact in 2023, where we had a slightly positive impact. But it is an impact which is part of the working capital management, respectively, of the inventory steering what we did during the last years. To summarize the EBITDA development, we moved from EUR 811 million to EUR 760 million. And I just try really to concentrate on the 3 buckets. Sales impact was minus EUR 120 million, which is a sales volume of minus 3%, but the bigger part here is the inefficiencies and the lower capacity utilization of our production sites and the lowest -- the lowest utilization rates we had in the wall and in the facing segment. Price cost, we mentioned about minus EUR 100 million, and this minus EUR 100 million was more or less compensated by our self-help and cost management measures of plus EUR 100. The scope impact close to EUR 80 million. And here, the major driver here is the Terreal acquisition and here is also the divestment of the Russian business considered. As we had in 2024, quite some one-off items, which are, I think, important to put them in a very transparent and clear way also on one slide to consider them for normalization of the performance of 2024. Let me guide you quickly through all these one-offs. In principle, we speak about 2 things. We speak about the restructuring measures, which we have implemented mainly in the second quarter of 2024. And we speak about the sale of some assets, some noncore assets, some real estate assets, but also the sale of our Russian business. And these 2 events more or less you find back in our P&L, and let me quickly walk you through where you find them back. We speak about an operating EBITDA of EUR 760 million. As I mentioned before, we had some restructuring measures, structural adjustments we call them, which is shown in the P&L under other operating expense, which is close to EUR 80 million. Then you see also between the operating and the reported EBITDA, the sale of noncore assets, respectively, the sale of Russian business, which adds up to close to EUR 24 million, these 2 positions. And when you come to EBIT, also in relation to all the restructurings, what we did, there was some write-offs, which especially was attributable to the restructuring measures what we implemented. This was EUR 50.6 million. So you see already here that you have to put or you have to consider these one-off items to normalize the 2024 performance. And in the financial result, last but not least, there was the recycling of the FX reserve, so the Ruble reserve, which if you exit a country or if you deconsolidate an asset, yes, you have to digest this FX reserve via the financial result. So that means that the financial result is EUR 42 million too high or let's say, the recurring financial result is EUR 42 million lower, considering also looking forward to 2025 development. So I hope this slide also helps you to consider all these one-off items in the normalization of the results. And we also have put a bridge in it where we have adjusted also our earnings per share, which is on a calculated or reported basis around about EUR 0.70. And if you adjust all these one-off items, what I just explained, you come to an adjusted earnings per share to EUR 2 per share. So sorry for being a little bit technically on that, but I think it is important also that you understand and also understand where they are shown and presented in our financial statements. Heimo mentioned it in the beginning, we focused a lot on cash flow generation. We have, I think, a very strong cash flow, free cash flow. And we tried also here to explain you from EBITDA to walk you to the gross cash flow and to the free cash flow. And you see that by a very disciplined working capital management, we improved our free cash flow by more than EUR 130 million that we also contributed with the cost management and the self-help program with another EUR 100 million to our free cash flow. And that finally, with the CapEx, with the maintenance CapEx, including also all the Terreal sites for 10 months that we also invested with EUR 135 million, I think a very moderate amount to keep all our industrial sites up and running. Net debt, this brings me to the net debt development. We had -- we ended the year with a net debt position of EUR 1.7 billion. And you see here on the bridge on the development of the net debt development that it is impacted or it is -- you see that the M&A and the growth CapEx, which we put in place is more than EUR 800 million. So this is the major impact why our net debt increased from EUR 1.2 billion to EUR 1.75 billion. And this, I think, brings me already to the next step. We have based on the financial performance and also based on our balance sheet, what we have and what we see, we will have a strong proposal also to the AGM where we propose an increase of our dividend from EUR 0.90 to EUR 0.95, and this is an increase of 5.6%. As I said, last year, we distributed a dividend of EUR 0.90. For this year, we propose a EUR 0.95 per share. And we will, before the AGM, cancel 2% of our shares, which we bought back during the last 6 months. This will take place before the AGM. And this will be also one part basically of the increase of our share dividend proposal. And with that, Heimo, I hand over back to you.
Heimo Scheuch : Thank you, Gerhard. And ladies and gentlemen, I hope you were able to analyze together with Gerhard in detail the numbers, all the events that took place during the year '24. And you have seen 2 things. You've seen that we invest continuously in the growth of our business. And this is obviously very important because, as I said earlier, we invest long term and we upgrade our business. So this will help us dramatically in the future. You see that the investment amount was a little higher last year, but it is important that we create this opportunity to produce more efficiently and we, with all of our innovation, have the right industrial base. Secondly, you have seen also that we are very, very disciplined when it comes to the capital allocation of maintenance CapEx because as Gerhard put it, even with more than 29 sites additionally coming to the network, we were able to keep the maintenance CapEx at EUR 135 million. So that's a very strong achievement in the organization. And last but not least, we are confident with respect to our business models because we propose to the AGM the increased dividend to EUR 0.95. And we have clearly committed to a capital allocation policy, which we thoroughly implement buying back shares and canceling the shares. So all in all, a very consistent approach when it comes to the financial management of the group. Let me just to summarize now go to '25. '24 is behind us. What do we expect from this year? We expect at Wienerberger that our end markets when we come to the most important end market, which is infrastructure for us when we talk about the piping business, will remain stable. And I will come to this in a minute to detail my assumptions, but infrastructure, stable, the end market, renovation slightly growing, especially in Europe. And we will have a new residential housing market, which we consider as to be stable this year throughout all of our end markets. So this is our assumption when we come to the underlying markets of Wienerberger. End market is stable. Interest rate cuts that are obviously expected by all the financial community to take place in here is also built in these expectations. We have not built any potential Ukraine peace deal into our assumptions for this year because, obviously, we don't know. We see all the events. We monitor it, and I will explain to you in a minute what we are currently doing within the company in order to prepare ourselves for this event. Renovation, as I said, a very important part of our business. It's 35% of revenues roughly. Biggest segment exposed here is the roofing one, Piping comes second and facade Systems, third. When we look at the slight growth, it comes from Eastern Europe and the U.K. and Ireland, where we see momentum a little bit building in this renovation segment. So there, we should take advantage with our different systems in the roofing and the piping, especially. Stable in Western and Northern Europe Hemisphere because I think here, we will still have a very stable environment due to not yet clear where the market will go politically speaking, initiatives speaking. And so there's no real momentum here when it comes to additional activity. So the activity will remain on a high level, but not increasing further and stable in the U.S. and in Canada. When we look now to infrastructure, piping is obviously the most exposed, 20% all of it from a turnover perspective. Stable in the Eastern part and Western/Northern part. We see here why stable because, obviously, we have, from a budget perspective, this is public spending. And I think we will see that the communities, municipalities and regions will certainly try to keep an eye on their expenses and costs. So this should remain a stable one on a good level, but not further growing. Slightly growth in the U.K. and Ireland. Here, we see some additional investments coming and stable in U.S. and Canada, the underlying market. New residential housing. Now this is obviously the key element when we talk for this year, what's happening here. You see slight growth in Eastern Europe, as Gerard has been pointing out, which we saw in building in last year and especially in quarter 4. We will move into -- in this first part of the year as well. Also in the U.K. and Ireland, we should see slight growth. However, ladies and gentlemen, I draw your attention,when I say slight growth, it's slight growth. And it comes obviously in Eastern Europe from a very low level because as you recall, the markets have collapsed 2 years ago, and we are now growing from a very low base. Stable Western Europe is good because it's important that our major markets don't fall further, but so they stay stable. We are talking about Germany, France, Belgium and the Netherlands are a little bit doing better. We have seen also the momentum building in the second half of '24. This will continue in the Netherlands. Stable in the U.S. and Canada. I do think, and this comes also as a very clear statement that I'm not worried about the U.S. and Canada. The U.S. has seen a lot of events last year. You all have realized the fires, the floodings, all sorts of natural events that have influenced negatively, but also interest rates are for U.S. standards and new residential housing market rather high. So there's no -- not yet any sort of tendency to move down here. So this -- I would call it, this doesn't help the market right now. So I would consider this year as a stable year when it comes to the new residential housing market. However, I do think that the current administration in the U.S. will monitor this very closely. And obviously, I think initiatives will come in this aspect also in the next year, too, because they need housing as a major factor to grow the American economy. And obviously, there's a shortage of housing there as well. So all in all, when I compare last year and this year, what's happening in the market and what is the underlying sort of events? Generally positive, much more positive than a year ago because there's a positive sentiment when you talk with people, that means builders, that means individuals, that means investors. So there's talk about investing in the business and doing projects again. There's an underlying demand that has only been growing for new residential housing. We feel that, especially in Europe and in the U.K. There's an increasing pressure building, not only on the European front, but also on the national front when it comes to the adding of social and affordable housing. You are also aware that there's the first time in history that we have a housing commissioner in the new commission in Brussels. So there's a lot of talk. We are, as Wienerberger involved in these discussions in Brussels. We are on the table with discussing governmental initiatives. There's a lot of things now moving. And I do sincerely hope that we have here programs coming out on the European, also on the U.K. front, but not yet materializing and not in the short term. So mid, long term, I remain very positive and I remain also very positive when it comes to renovation and infrastructure because here, a lot of things have to be done with respect to outdated and old infrastructure. What are the real catalysts when we talk about growth '25 and onwards. As I said, these governmental initiatives that are currently put together in a very advanced stage, by the way, in certain countries, if they are now put in effect and on the market, they will help us tremendously. Also when we talk about financing, there are models of financing like in the EU with the Investment Bank, for example, the European one, helping here in providing financing. So this is things that I think move in the right direction. Political stability will help especially the housing sector because it needs stability as such. And I think after the German elections, now we go in a more stable environment politically. And I do hope that this will also calm the housing market and that we move in a positive growing momentum in the years to come. Further interest rates cuts, as I said, are necessary to really put some oxygen in the market and help it grow. And obviously, potential Ukraine peace deal will help Europe and especially Eastern Europe to rebound its markets. When we look at our action plan and for you, important, all the sort of numbers for '25, let's walk you through here. On the efforts with respect to systems, new products and innovation, we were moving really fast towards our 35% turnover target. I stress this, and this is strategically so important because I put it first here because Gerhard has shown you the strong margins. I mean I remember talking to all of you, and I heard the criticism with respect to piping, single digit, et cetera, et cetera. But now you see that there's a 19% margin -- EBITDA margin. So we move fast. We put a lot of effort in this, and it's true for all the other businesses as well. So this is strategically very important. Growth CapEx, about EUR 150 million that we put in the business, again, as I said, to grow it and sustain the margins. Maintenance CapEx was EUR 140 million, you see, again, the very disciplined approach when it comes to our network. Depreciation should be around EUR 380 million to put into your model. The tax ratio for your model should be 23% for this ongoing year. The net interest result is about EUR 100 million that obviously you can conclude also that we will be within our target of 2x net debt to EBITDA and the expanding operating EBITDA margins to 17.5% is also our target. So this is very important for you to see clearly where our target is cost management discipline on the cost side as well as efficiency improvement. So this is, for us, the key elements. When I talk about the performance for the Wienerberger Group, under the conditions, and I phrased myself very clearly, these are the 2 assumptions where I base my EBITDA guidance with about EUR 800 million on is end markets remain stable throughout the year '25 and interest rates cuts should take place as they have been communicated by the different central banks in our regional exposures that we are in. So these are the 2 elements that would lead us to a performance of around EUR 800 million EBITDA. Again, also a very close look at the first quarter of this year so that there's no misunderstanding among all of us. We will improve by more than 10% of our EBITDA throughout the first quarter. We see, as we speak, end of February, stable volumes coming through when I talk about the sales part of Wienerberger. We have obviously here a positive cost management due to the impacts that Gerhard spoke about when we did our restructuring with a little bit better cost base here. And we will certainly have a slightly negative price/cost effect, obviously, in the first quarter still going through. So EUR 130 million is roughly the estimate for the EBITDA-wise for the first quarter of Wienerberger. Two words about the Ukraine because it will affect certainly on the midterm or this year already, we don't know yet our business. Why? Because we are very much exposed to the region. And any peace deal will positively influence the overall picture in Eastern Europe and obviously, in the Ukraine itself. So wall, facade, roofing, and piping systems will be influenced substantially. We are ideally positioned as a company in all the neighboring countries. We have also teams on the ground that can easily and swiftly increase the capacity and ensure that the products are delivered into the Ukraine, and we have competent teams of Ukrainians on the ground to deal with this. So we have prepared ourselves to this sort of situation well. And you can see from this map that we have put together for you how dense our network is close to the Ukrainian border from Romania, over Hungary, Slovakia and into the Polish market where we can easily come across and bring the products into the market. I -- just for your benefit, you know that I'm long with Wienerberger and I've seen a lot of things happening in Eastern Europe. I recall the ex-Yugoslavia war and the Bosnia-Serbia war. When this war stopped, fortunately, for all the people that suffered so much there, there was about 6 months later, a huge demand in products and a huge demand reaching to full capacity utilization in the whole region and price obviously up also due to the full utilization and the demand in products. And if I compare Bosnia and the Ukraine, I mean, it's a huge difference because what is destructed, what is the demand there. So the Ukraine is by far much more important. So that's why we, as Wienerberger will prepare ourselves well. It's a major event that will come our way, and we will be ready to use this wisely. As I said, with this spare capacity that we have and our capacity utilization, this will be, obviously, for us, a very positive event. We have not put it in because it's too early. It's too early for us, and we don't want to see this in our numbers now. So we are consciously managing and effectively managing our cost base. But if we see that there's momentum building, we will move very, very quickly. Let me just finalize our presentation today on the midterm strategy for us means a clear capital allocation policy when it comes to dividend, share buyback policy, canceling of shares. I think you have clearly seen that we put the action also in place. We don't only talk about it, we do it. We are very disciplined with respect to maintenance CapEx. You have seen our performance '24. You have seen our guidance '25. So really very disciplined. And when it comes to M&A and growth, again, here, very strategic, very focusing on our expansion when it comes to the right diversified portfolio to have an even more resilient one in Wienerberger and to put the money where it's important. High innovation rate. This means so much to us because it's -- it's us growing in the markets that are not easy. It's obviously keeping our margins where they are and where we put the most emphasis on what the clients and the customer need is. So the increasing of the system solutions is also when skills are short, when there's a shortage of labor, very, very important. Continued operational excellence means that we, in the future, have a more efficient base to work with, more efficient cost-wise, output-wise and quality-wise. And this is, I think, so important also for the future growth of Wienerberger. M&A will be a very, very important part for our growth in the future. You have seen us that we are able as a company to grow rapidly. A lot of you asked me in the past, Heimo, when do you do the next deal? What I said to you, listen, we will do it at the right time at the right price. You have seen it, Terreal. We moved quickly. We're prepared well. We integrate it rapidly. For us, it's the biggest transaction that we ever did in the history of the company, and we have integrated it already on our systems, the sales forces, et cetera. So we're not talking about it, we are doing it. And this makes me confident that the company is ready to do deals. It doesn't mean that it needs to be mega deals, but deals that will help us to grow. I've talked about the Ukraine. I've talked about Eastern Europe. This is a key part of growth where we will put a lot of emphasis on also in the future. North America, obviously, also because we have a strong management team on the ground. So here, again, realizing the cost synergy moving the needle when it comes to growth. And on a more long-term or midterm perspective, we do believe that the markets that we are in, infrastructure, renovation and new residential housing are the right ones for growth because, as I said, not only the sentiment, but the action politically and financially are building around these major parts of our exposure. So here, again, if the markets move up, we have the right setup, we have the right network in place in order to take advantage of this potential future development. And here, clearly, on a midterm target, I'm not pushing out this in the future. I'm just saying we need time and we need to be patient until the end markets come back. When they come back to the levels that we have indicated in the slides, then obviously, our EBITDA will be at around EUR 1.2 billion as we speak. So here, again, Wienerberger, we have put it in place in the sense for growth. We have a strong industrial base, and we have the right products exposure. And especially, you remember, I started the long -- a little bit longer presentation of Gerhard and myself today with the words people matter for us. People matter in order to get these targets in place and realized. So I'm very happy to say that we have the right people at the right places in Wienerberger. Also on the communication front, we want to get better. It's a great honor to be today here in Belgium with Gerhard. We worked so long together in so many years, have done so many things. And it's actually the last presentation that Gerhard gives today. And I'm very pleased and it's with emotion that I say it's the last one because we have accomplished a lot. And I'm very, very grateful that Gerhard moves into operation. He loves it. It's his heart, and he can actually show again that all these financial targets can be achieved in operations. And Eastern Europe is our major growth area in the years to come, and I'm glad that he puts his emphasis and work there in place. Good luck, Gerard.
Gerhard Hanke : Thank you very much.
Heimo Scheuch : Thank you very much for all the help. And with Dagmar, we get a great addition to the Board. I'm happy that she will be joining next week. She's a great lady, very strong experience, and she will bring a lot of also new ideas. And as you did also when we changed a lot of thing in Wienerberger, she will also help us to improve further. And I think all of you will like her when she is next time together with me doing the presentation. I look forward. Thank you very much for your attention. It was a little longer than we originally planned, but I thought it's important to give you an overview about what's happening with us in the company and outside the company. Thank you very much for your attention. And obviously, we are ready to take your questions if you have any. Thank you.
Operator: [Operator Instructions] And we have the first question coming from the line of Brijesh Siya from HSBC.
Brijesh Siya : I have a couple. To start with the cost side of things. So I do see the strong energy prices have over the course of the year. Can you just explain us how that has happened? Because I recollect you had a kind of a strong forward buying in place. So that -- I want to understand how that is increasing and what's your outlook for 2025 across all other buckets of cost side? And the second one is on the resin prices is kind of coming down as I see in one of the slides, but you seem to have kind of jumped up on the cost side. So I just want to understand how that has kind of evolved and how the dynamics, whether it's because of inventory that has moved around when the prices are coming down, but the costs are going up. Then the third one is on the self-help. You talked about self-help in 2024, but I don't see the EUR 30 million [indiscernible] in 2023 reflecting in the slide. So is that something you have taken out or that's still live, the EUR 30 million cost savings? Then the final one is on the demand pickup, right? If at all, there is a demand pickup with all these cost measures you have taken, either temporary or some are permanent, do you anticipate any cost increase as well?
Heimo Scheuch : Are you done with all your questions?
Brijesh Siya : Sorry.
Heimo Scheuch : No, it's okay. No, no, no. I just -- because I didn't hear anything anymore. I just wanted to confirm. No, that's perfectly fine. Gerhard will --
Gerhard Hanke : The last one, maybe start with the last one because, yes, as you mentioned, part of the cost -- out of the cost-saving measures, which we have implemented, and I'm now referring only to this part of cost management. You have seen in 2024 that EUR 60 million came from cost management, EUR 40 million from our self-help initiatives. The EUR 60 million is referring to all the restructuring measures. So fixed costs, which we took out. And you know that we also had a lot of temporary shutdowns. We call it mothballing. And when you restart a production site, yes, costs are coming back, not all of them, but a big part will come back because you need personnel and you need to do maintenance work. So yes, so a big part will come back, but you will round about 1/3 you will keep. And this is also when we speak about what we feel fit and that we will go out more efficient also looking forward, this is where we refer to. So a part of it will come back simply, but hopefully will also be absorbed by production output. The second thing, self-help is not disappearing. It is in our DNA. So we keep going as we decided to guide on an EBITDA margin where we are working on, and you see that we are hardly working on efficiency and on cost improvement. Therefore, we believe to improve our EBITDA margin from 70% to 17.5%. And yes, self-help will be one of the contributors to that. But all these measures, what we communicated, if it's about cost management, it's about self-help, it's about pricing and cost inflation. All this is covered in our ambition to further improve our EBITDA margin, where we believe we can take another step where we believe also if production or demand is coming back, that we also get a better efficiency out of our existing network.
Heimo Scheuch : And there are 2 questions remaining, that's on the resin prices and on the energy price, yes?
Gerhard Hanke : On the energy prices, and just correct me, but what I understood is, we had -- as I said, we had still in the first 6 months in 2024, reasonable prices. In the second half, we have seen that prices are slightly going up. We were hedged, respectively, we fixed most of the volumes and the prices. So it is not strongly exposed to the external energy cost development. I'm speaking here about our own consumed cost inflation, what I had to digest via our profit and loss.
Heimo Scheuch : Keep in mind also that some of our countries don't allow to buy forward. There is -- this is important.
Gerhard Hanke : This is, I think, important to have countries like Serbia, Bulgaria, where you cannot fix volumes. You simply -- markets are not liberalized. So you have to -- you are fully exposed also to the market prices, and that's why we also have seen slightly higher energy prices in the second half of 2024. Looking forward into 2025, we are for that moment, having a rate of around about 60% to 70%. We are not fixing volumes on a too high level as there are some question marks about how the energy prices will develop in the next, let's say, 6 to 12 months. We have, at the moment, more fixed the volumes for the first half of 2025. And we are looking how things are developing, and we are -- also Heimo mentioned this, there is at the moment, a lot of talks going on with the Ukrainian peace deal. And this will also have again a major impact on energy prices going forward. So we are focusing at the moment first on the first 6 months.
Brijesh Siya : Okay. Sorry, just on the follow-up side. Could you put a number on what kind of inflation you are expecting for overall cost inflation for 2025? And the second question is basically you talked about the self-help is not going anywhere. So can you help us bridge the gap between EUR 760 million to EUR 800 million? What are the building blocks in that, if you can just talk volume, price and cost basis, if you can -- and plus the material contributions, if you can.
Heimo Scheuch : I think it's much -- if you allow me to answer it in the following way, it's much more important to focus on the EBITDA margin. And when we say we make a margin expansion of about from 17% to 17.5%. This includes all of what you are saying. That means better cost management, very disciplined approach on the cost side, but also on the pricing side. So there's a multitude of actions that are behind it in order to improve the margin. Our product portfolio, our exposures are so diversified. So it's better to look at it from this angle because otherwise, we give you bits and pieces. And therefore, it's very difficult to put them together. So from my side, to say clearly, I don't bridge anything because we start at EUR 0 at the beginning of the year, and we've given you a clear guidance of EUR 800 million. So that's -- if you start with EUR 700 million, EUR 600 million or EUR 800 million, that's up to everybody's estimations. But from my point of view, we have a clear vision on our profitability at Wienerberger with a clear margin that we put out there, and this margin expansion to 17.5% and an overall EBITDA with EUR 800 million.
Brijesh Siya : Okay. Fair enough. No, I was just asking because at November, you were talking about well above EUR 800 million. Now you're coming out at EUR 800 million. So that's why I was asking. Anyway, fair enough.
Heimo Scheuch : Yes, but wait a, wait a minute. Wait, wait, wait. I think I don't want to leave this in the room because when we spoke at the third quarter, we said that markets might be picking up quite a bit. We were talking about interest rates cuts, et cetera. And moving into 2025 more dynamic. What I told you today is very clear. I don't see this dynamic movement. I don't see a Trump effect, for example, in the new residential housing in the U.S. That's very important because then I can tell you today, we have a different picture than we had in November of last year. And this is a matter of fact. I can't change it. And under the circumstances that I clearly pointed out today, I say we will certainly reach -- or we have put this together and reach the EUR 800 million and expand our margins to 17.5%. This is an important message.
Gerhard Hanke : I think always with things EBITDA and it is a market assumptions, what we -- we have to look at both of them.
Operator: The next question comes from the line of Axel Stasse from MS.
Axel Stasse : My first question was about the piping in North America. How should we look at top line and profitability here in 2025? You mentioned pricing was under pressure. Could you please elaborate on this and how we should think about it in 2025? And I will do my second question after.
Heimo Scheuch : Well, I think, Axel, thank you very much for your question. I wouldn't use the word under pressure. We have also in the U.S., and you know that the piping market, plastic piping market is a very transparent one because of plastic granular prices. And so the prices of our raw material moved down and obviously, the market knows that and moves down then also with this. So this is not an erosion that you have here, but it's a logical development of the transparency of this marketplace. And as we said, the market is there and the prices have been on a very high level. And therefore, it's not that the prices as such collapse, but the margins adjusted downwards due to the rain effect.
Gerhard Hanke : I think it is -- you have to look at it from both sides. Yes, we had a kind of -- I would call it a little bit of over profitability maybe even in our piping business, which sequentially is coming down, but still to a very high and respectable level what we have. And we have seen that partly also by the mix driven, but also that the level of the resin prices, how they are coming down and how our sales prices develop that we lost here a little bit of price cost. This was this EUR 20 million, what we also explained before. But still, we are looking 2025 still with a very positive and a high margin into as it is -- the high margin will not totally disappear. I think we have to be clear on that. It will normalize to a certain level, but it will still be exceptionally higher than what we see in average also in our European business.
Axel Stasse : So should we still expect margins to be under pressure in 2025 or at least year-over-year decline or stabilizing from 2024?
Heimo Scheuch : I would say that they will come a little bit down further. That's my best guess as of today, but it's not in the amplitude that we have seen in '24, yes. So this is, I think, something you need to keep in mind. The second information that I would like to give to you is the following. We have expanded our production capacity in our American piping operation, and this is working well because we are gaining market share there. So obviously, from a perspective of growth, this grows nicely. But as I said, the margin is not at the extremely high levels that we have seen in the past, but on a more normalized level. But still, as Gerhard puts it very accurately, much above the 19% that we have given to you as for the whole piping EBITDA.
Axel Stasse : Okay. Very clear. And then my second question was about the pricing cost spread that you mentioned for the first Q 2025. You mentioned it would be negative. Could you please elaborate a bit on this and how we should think about even just the first half year in 2025?
Heimo Scheuch : I think both things to answer in one. You will see some effects in the first half of the year because I call it -- sorry, it's probably not the accurate word, it's a little spillover from last year, and it's a single-digit number in the first quarter. Million, mid-single digit.
Operator: The next question comes from the line of Yassine Touahri from On Field Investment Research.
Yassine Touahri : I think the first question would be on the scope effect that you're expecting in 2025. I had in mind something like EUR 20 million impact of Terreal in the first part of 2025, mostly in Q1. Is it correct? That would be my first question.
Heimo Scheuch : No, it's not because what you are saying here, it's the scope, the whole scope that we talk about. And when you talk about the roofing business, the first 2 months of the year is obviously never strong months because of weather conditions and how the market as such works and how roofers work. So usually, the business of roofing is a second half of the year business with strong numbers coming in, in September, October. So there, you will see most of the effect. And we are talking here a mixture of synergies and market effect. So this is from a -- it's too ambitious that we have.
Yassine Touahri : So you would say it's also like a single-digit number in terms of million for the EBITDA, the scope impact that we should expect in 2025?
Gerhard Hanke : I think maybe single is even too conservative again, but I would take somewhere a slight 10 plus because as Heimo said, the first 2 months in roofing business is not really something big. And therefore, I think we would -- we discussed that, but I think it's too early to say a number. There is a contribution. We all agree on that. It is priced in also in our EUR 800 million. But I think your EUR 20 million is too high.
Yassine Touahri : So something closer to like EUR 10 million, EUR 15 million would make more sense.
Gerhard Hanke : Something closer to EUR 10 million.
Yassine Touahri : And the second question on the beginning of the year, what kind of pricing do you see -- what kind of pricing development do you see in January and February? Do you have price -- is it something which is -- are prices stabilizing? Do we see some price increasing? Have you announced some price increase? Because I can imagine that you still have the labor cost inflation and the energy prices are going up a little bit?
Gerhard Hanke : Yes, definitely, as you correctly pointed out, I mean, there is some inflation that we always said, and this is a normal practice of ours to announce price increases to work with our customer base on this. And this is a step-by-step approach. We will see how the prices sort of stick, and then go into the different markets in some earlier than in others. So that's a normal procedure. But I'm -- from this stage, as I said, in certain regions, I'm confident in how they do it and how they develop and others will take a little longer. That's why we have this -- what I said earlier, the spillover effect from last year.
Yassine Touahri : Because you ended the year with the prices down approximately 3%. When we look at the first months of the year, is it fair to assume that prices will be more like stable or that's still a little bit negative and turning positive in the second half of the year? It would be great to get an understanding of at least what you've seen in the past couple of months.
Heimo Scheuch : I think the normal seasonal pattern is, yes. Therefore, we also said we will -- we are expecting a slight negative price/cost spread in quarter 1, maybe in April, something, but our assumption, our best assumption is based on what have been communicated on price increases from the countries and most of the price increases already have been communicated by the end of last year. So -- but it takes some time that they materialize. So we expect a flat development throughout the year.
Yassine Touahri : Flat development of pricing. And when we look at the beginning of the year, is it fair to assume that prices are still a little bit under pressure?
Heimo Scheuch : I wouldn't say under pressure because I think it's only what you are saying that we can't cover everything at the beginning -- from the beginning of the year, and you have the labor cost increases from the beginning and other cost increases also.
Gerhard Hanke : And maybe even to be more accurate, we speak here because you see that the dynamic of the pricing in the piping business is totally different from the dynamic on the more new build exposed. So what we are speaking here that is more really the product segment, which is more new build exposed. We see also that the demand and the resilience of the roofing and the renovation business is much more there. And therefore, we really have -- when we speak about pricing, we should really focus on the product group, which are exposed to the new residential housing because here we have the delay.
Yassine Touahri : And here, do you see prices up in the first 2 months of the year? Or do you see prices stable? Would be just great to get a greater sense of the order of magnitude of the pricing development at the beginning of the year and what you expect for 2025?
Heimo Scheuch : Sorry, I can only repeat what I've said. I mean, if I say there is an effect in the first quarter and even answering the question of your colleague, I said it's single-digit million number in the first quarter, then you have obviously here this effect because it's linked to the new residential housing exposure of Wienerberger, yes. This is it. Not to the residential, not to the piping, yes.
Yassine Touahri : Okay. That's very clear. And maybe a last question on the -- on your capital allocation. How do you see that -- we see a lot of companies moving into system, moving into completing the building [indiscernible]. How do you see Wienerberger in the next 5 years, assuming that you progressively reach this EUR 1.2 billion EBITDA? What would you like to -- what would be the ideal portfolio of Wienerberger?
Heimo Scheuch : I do believe that today already, we have a very solid, very robust portfolio. As I said, we grow it as we speak on the roof with the whole roof systems that we explained to you. On the facade, also, there are some additions to be made. And in the walling segment, we will move also now accordingly because you have seen that this is the the one that is most exposed to new residential housing and where we, with the clay block business have actually only the block. So we need to add some features to it. So that will be one of the major focus points for us in the near future. But I don't see us now in the need to think gradually very strategically on other things. I think Wienerberger in order to move to this midterm target of 1.2 has the right setup industrially speaking and also from a system approach. It's a market recovery story.
Yassine Touahri : And maybe I'm sorry, a last follow-up because I forgot to ask the question. We've seen gas prices increasing quite substantially and electricity prices increasing quite substantially since the beginning of -- over the past 3 months. I understand that you're fully hedged in H1. I can imagine that some of your competitors are the smaller companies are not necessarily hedged. Do you see them suffering or starting to increase prices to reflect this higher energy costs?
Heimo Scheuch : I just want to make clear once again, when we talk about our buying forward policy, we are able to do so, as you correctly say, in a lot of our countries, and it's mostly linked to our ceramic business because this is the high energy consuming business with gas and electricity. So in some parts, in some regions, in some geographies, we are not allowed to do so because of reasons, meaning local legal framework that doesn't allow us. And Gerard has named 2 countries and there's a few others like Bulgaria and Serbia. So there is exposure. So this -- here, we basically have to buy spot. That's to be honest. It's not always 100% that we can buy forward. Just to make it clear.
Gerhard Hanke : And even Yassine, we are not -- for the half year, as you said, we are not fully hedged, you mentioned for the first 6 months. This is not the case. We have a high level, and we also have part of the second half. But the focus at the moment is on the first 6 months.
Yassine Touahri : I can imagine that because you have a good hedging for the first 6 months, if some of your competitors don't have this hedging, they will have to increase prices quite materially to protect their margin. And my question is, do you see some of the smaller ceramic companies starting to increase prices because they have to reflect much higher gas and electricity prices?
Gerhard Hanke : It is 26th of February. So it is, I think, way too early. Let us wait for March, April when we see also a strong seasonal dynamic in the new build segment. And I think we can make them this kind of conclusions what you just explained.
Operator: The next question comes from the line of Gregor Kuglitsch from UBS.
Gregor Kuglitsch : So I've got a couple of questions, please. So can we just take a step back and summarize what you're expecting for cost inflation? I think pricing you kind of answered, you said flat, I think, for 2025. I just want to get a summary of sort of the overall thinking that you've put into your guidance. That's question number one. Question number two is, I think, Heimo, you said you thought you'd be 2x net debt to EBITDA. So I just want to make sure that, that's what you're guiding sort of EUR 1.6 billion of net debt, give or take. And I guess within that, are you intending to take out more working capital? Or is that now finished? And coming back to U.S. pipe, can you just -- I'll tell you my number and then you can sort of perhaps tell me if I'm majorly off. So I think you made around EUR 80 million of EBITDA in U.S. plastics pipe last year within your North America segment. I want to understand if that's kind of the right number. And are you saying that, that will still go down a little bit, but less than the EUR 25 million, I think you said in your slide. Just want to make sure that we're on the same page.
Heimo Scheuch : Good. They are very, very precise questions, obviously, as I would expect from you. And let's go into this -- the net debt. I think you used the word give or take. I think what we have a policy in place that we say that 2x is from us in sort of through cycle, a good sort of ratio to have EBITDA to net debt. So I think we also said that when we do an acquisition, a good one, and we think it's appropriate, then we can be a little higher. So this is certainly, I think this flexibility, you need to give us as management to assess this situation. So it's not a drama if we are a little higher or if we are lower than that, that depends on the availability of capital allocation in the sense of M&A deals that are interesting for Wienerberger. The EUR 100 million that I gave you as a financial result is based on this assumption, 2x, correct, Gerhard? That's it. That, I think, answers your question, hopefully. On the U.S. pipe part, the result when you talk about EBITDA, I say it a little bit with slightly more than EUR 80 million. That's the contribution of EBITDA. So that's -- if I may say so, now you have a number.
Gerhard Hanke : Right. And I think it is not -- we do not expect because I think you mentioned EUR 20 million as negative price/cost spread, which we had to digest in 2024. We don't see or we don't expect a number of that size for 2025. We expect some smaller bit, which will hit the margin, but we are still confident that we can keep the profitability and also the EBITDA contribution in the U.S. on -- really on a significant level.
Heimo Scheuch : And on the other one, I think to make it very simple, we can make it, obviously, and I tried to make it simpler this time. And hopefully, we are successful. We say we want with the assumption of stable markets and stable -- the definition of stable, I think both of us agree what it means on the end market size. And then for Wienerberger, we want to have an expansion, slight expansion of margin from 17% to 17.5%. And this obviously assumes that we need to do better our homework and cost structures and efficiency programs in order to offset some of the inflationary cost increases. The thing both of us, I think, agree is very difficult because we have seen in '24 that inflation changes throughout the years rather dramatically for us all and that we need to adjust. So to give you now for all bits and pieces, indications is probably misleading because in May, June, we will have a different picture. So I try to focus on the margins, if I can say it.
Gerhard Hanke : And this is after a long discussion what we had because also we know today, yes, there will be some inflation. We know that personnel costs are going up, and this was the same last year that we knew that we have an increase in salary and wages. Our clear goal were to manage that, that we can bring cost inflation or to compensate with other raw materials and additives to bring this down to 0%. Yes, this worked out in 2024. In 2025, we again will have to cover personnel costs because we know already today that personnel costs are going up. And then we are still working like we did in 2024 on our cost structure. We will work on our pricing. And as Heimo said, volumes, our assumption as of today is a more flat and stable volume development.
Operator: The last question coming from the line of Tobias Woerner from Stifel.
Tobias Woerner : Two, if I may. Number one, if we look to Slide 23 of your presentation, in Q3, you still gave us actually what the volumes looked like in the quarter. On this occasion, you only give it for the full year. We can obviously calculate those on a rough basis. But can you give us a sense...
Heimo Scheuch : It's plus 3 [indiscernible], it's plus 3 volume on the last quarter.
Tobias Woerner : I understand. But when you look at the subsegments and where you see the biggest inflection points for wall, facade, roof, pipes across Europe, North America or if you just want to look at the group in that context. Secondly, if you look to your structural adjustments, EUR 78 million, I think, last year, you had EUR 37 million, so roughly half of that. And back then you told us that unfortunately, about 1,000 people had to leave the group. What is that number today, if I may ask?
Heimo Scheuch : Maybe to start with the last one, the 77% is the restructuring, which we -- I would say, 80%, 90% we took in place or we implemented already in the second quarter. And already in the second quarter, we presented more or less this kind of number. I think at that time, it was plus/minus 70%. Keep in mind that the major restructuring measures, we're focusing now on Western Europe and to restructure business in France and in Germany is much more expensive than to restructure business in Hungary and Romania. And therefore, in relation or in comparison also to last year, we had this year -- sorry, in 2024, we had to restructure in certain countries in Western Europe, like in France and in Germany, and it was also some of the roof tile capacities, which we brought in because we adapted in 2024 already our roofing network considering also the plants which came in via Terreal and [Creaton] -- and it is simply a different exercise when you restructure a roofing network than when you restructure a clay block network. And it has also a big impact if you're doing that in Western Europe or if you're doing that in Eastern Europe. So you can only to a certain extent, compare the restructurings what we did in East last year and the restructurings what we did in 2024, mainly in the second quarter.
Tobias Woerner : And what number of people left the group, if I may ask?
Heimo Scheuch : In total, I think it was -- you're now asking only about 2024?
Tobias Woerner : Correct.
Heimo Scheuch : And it was again, I think, close to 1,000 people, around plus/minus 1,000. If you need really an accurate number, I can forward you that afterwards, but it is again in that size about.
Tobias Woerner : And sort of the trends by product group roughly?
Heimo Scheuch : I think, as I mentioned before, what we have seen, it was a plus 3% in the last quarter. Volume-wise, we have seen that the volumes increase were coming mainly from the ceramic business and from the -- and here from the renovation from the roofing side. So we had better volumes in roof in the last quarter, and we had also on a year-on-year comparison, a better volume development in certain parts of Western Europe. U.S. was still negative in quarter 4 on a year-on-year comparison and the piping was slightly positive. So this was round about in a nutshell, how volumes developed in the last quarter.
Tobias Woerner : Okay. And Terreal, on an annualized basis, you gave a bit of a guidance over the first 2 months. But if you look at the run rate over the last 12 months, if you could give us the exact numbers for sales and EBITDA possibly.
Gerhard Hanke : No, I think it is -- we have already fully integrated the business. And I think what we always said we spoke, I think you remember in 2022, we spoke about the run rate of EUR 100 million. This was the run rate in a different market environment. This was, I think, in 2022. We realized now in 2024 an EUR 82 million, which I believe is for 10 months and considering this market environment, a strong performance. We all agree this will improve definitely. But also as it is already part of our business, it is fully integrated. We want to also not communicate separately what is exactly now Terreal doing on a 12-month basis in 2025 because it is.
Heimo Scheuch : Tobias, it will be somehow misleading because as Gerhard said, we track these numbers very accurately. We will update it on a yearly basis to you in order to assess the profitability of -- or the payback of such acquisition. But during the year, it will be misleading because we have fully integrated sales forces, back offices, et cetera. So it's already part of our French business. And also the same goes for Germany and Italy.
Tobias Woerner : I mean somebody told me the other day that there seems to be an extraordinary cycle in roofing in Germany at the moment, totally out of tune with everything else. Are you seeing something similar? And what did that mean for your business, i.e., Terreal when you compare it from peak to trough, i.e., the EUR 720 million to today in terms of underlying volumes?
Heimo Scheuch : I don't know whom you talked with, but to be as, I think this person is either in another universe, but we haven't seen any sort of very specific cycle in Germany.
Tobias Woerner : It's typical for--
Heimo Scheuch : No, no, it's not there. So in none of the materials, not in flat and not in the pitch roof, nothing. It's a depressed market. Two things in renovation and obviously new build. It's certainly not a great market right now from a demand perspective.
Tobias Woerner : But renovation is not helping at all?
Heimo Scheuch : It's helping. It's helping. But as compared to other countries, the renovation rate in Germany in '24 has also been rather weak.
Operator: We have a last minute question coming from the line of Harry Goad from Berenberg.
Harry Goad : I have a question relating to -- it's your Slide 37, which is end market versus the 2021 baseline. Just with regards to the [indiscernible] new residential because it's obviously a very large decline. Just to be clear, are you referring to volumes there? Or does that include like a value effect as well in terms of pricing? And then...
Heimo Scheuch : Market volume, market volume only.
Harry Goad : And would you see 2021 as a normal market? Or would you see 2021 as a sort of disproportionately strong market when we think about the shape of a medium-term recovery?
Heimo Scheuch : Honestly, there are 2 schools of sort of looking at it and scholars the ones that say 2021 was a very good year after the COVID crisis, and there have been some sort of extraordinary effects influencing this year. If you look at it on a very long-term perspective, which other scholars do, not me, others, they say it's not a very high level because we have still a lot of pent-up demand and actually, the number should be higher. That's why we at Wienerberger took this year as a strong year, relatively speaking, especially when it comes to new residential housing, not the others actually, renovation and infrastructure that was not the highest years ever. But here, I think you have a good indicator that if we move back to such number, it's not incredibly high, but it's on a long term in the upper field of activity rate. But if you see it from our perspective, demand and underlying need of housing, it's an achievable number.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Therese Jander for any closing remarks.
Therese Jander: Thank you. Then ladies and gentlemen, thank you very much for taking the time and dialing in today. Our annual report will be published on the 31st of March. And for that, today, I wish you a pleasant day, and goodbye.